Andrzej Matyczynski: Thank you for joining Reading International's Earnings Call to discuss our 2020 Second Quarter Results. My name is Andrzej Matyczynski, and I'm Reading's Executive Vice President of Global Operations. With me are Ellen Cotter, our President and Chief Executive Officer; and Gilbert Avanes, our Executive Vice President, Chief Financial Officer and Treasurer. Before we begin the substance of the call, I'll start as usual by stating that in accordance with the safe harbor provision of the Private Securities Litigation Reform Act of 1995, certain matters that will be addressed in this earnings call may constitute forward-looking statements. Such statements are subject to risks, uncertainties and other factors that may cause our actual performance to be materially different from the performance indicated or implied by such statements. Such risk factors are clearly set out in our SEC filings. We undertake no obligation to publicly update or revise any forward-looking statements. In addition, we will discuss non-GAAP financial measures on this call. Reconciliations and definitions of non-GAAP financial measures, which are segment operating income, EBITDA and adjusted EBITDA are included in our recently issued 2020 second quarter earnings release on the company's website. We have adjusted, where applicable, the EBITDA items we believe to be external to our business and not reflective of our cost of doing business or results of operation. Such costs include legal expenses relating to extraordinary litigation and any other items that could be considered nonrecurring in accordance with the 2-year SEC requirement for determining an item is nonrecurring, infrequent or unusual in nature. We believe adjusted EBITDA is an important supplemental measure of our performance. In today's call, we also use an industry accepted financial measure called theater level cash flow, TLCF, which is theater-level revenue less direct theater-level expenses; and also property level cash flow, PLCF, which is property-level revenue less direct property-level expenses. Please note that our comments are necessarily summary in nature. And anything we say is qualified by the more detailed disclosure set forth in our Form 10-Q and other filings with the U.S. Securities and Exchange Commission. So with that behind us, I'll turn it over to Ellen, who will review the results for the second quarter 2020 and discuss in more detail Reading's precautions and strategies in navigating the COVID-19 pandemic, followed by Gilbert, who will provide a more detailed financial review. Ellen?
Ellen Cotter : Thanks, Andrzej, and welcome, everyone, to the call, and thanks for joining us today. As Andrzej just said, we'll touch on the second quarter results, and we'll touch on our efforts through the quarter to preserve the company's value and to continue to build it for the future. We'll spend more time updating you on where we are today and what we see for the immediate future. At $3.42 million, our Q2 2020 consolidated total revenues were not a surprise, when you take into account the government-mandated closure of our 60 global cinemas and 3 U.S. live theaters for just about the entire calendar quarter. For the first time ever, our quarterly revenues from real estate, at $2.2 million, exceeded our cinema revenues of $1.2 million. Our Q2 2020 was severely impacted by the COVID-19 crisis. All of our 24 U.S. movie theaters and 3 live theaters were closed to the public through the entire quarter. Our 23 Australian theaters were closed for most of the second quarter. 17 cinemas reopened under a staggered timetable throughout June, with the remaining 6 theaters in New South Wales opening on July 1, 2021. And those cinemas that did reopen did so with a 1.5 meter distancing in auditoriums that led to non reclining theaters operating at approximately 25% seating capacity and recliner auditoriums operating approximately 50% seating capacity. However, the primary challenge for Australian cinemas has been the lack of major studio temple releases. Our 10 New Zealand theaters were closed for most of the second quarter as well. They all reopened during the first week in June, except for Courteney Central that remained closed due to seismic concerns. Again, the biggest challenge has been the lack of major studio temple releases. Our Australian real estate portfolio currently includes 80 third-party tenants. Through the second quarter, our centers in Australia, Newmarket Village, Auburn Redyard, Cannon Park and the Belmont Common remained open, but many tenants operated with trading restrictions. During Q2, we granted rent relief in the amount of AUD 565,000 in terms of abatements over the portfolio to many of our smaller tenants. For the most part, our anchored tenants continued to meet their rental obligations. The Q2 consolidated revenues were also negatively impacted by the further weakening of the Australian and New Zealand dollars against the U.S. dollar by 6.1% and 6.7%, respectively, as of June 30, 2020. So because COVID-19 caused a virtual elimination of our revenues, we reported a segment operating loss for the second quarter 2020 of $18.1 million, a negative EBITDA of $17 million and a second quarter 2020 net loss of $22.7 million. The second quarter of 2020, probably the most challenging quarter this company will ever have experienced, was principally about cash and asset value preservation. As a proactive move to protect our liquidity, at the end of March 2020, we drew down on all our credit lines. As of June 30, 2020, our cash position was $40.4 million. And as of that same date, our overall bank debt was $275.9 million. As of today, we've amended our credit agreements and received financial covenant waivers well into 2021 from National Australia Bank and Bank of America. We continue to work with Westpac, which has been our lender in New Zealand for over 15 years. Gilbert will describe these agreements in more detail in a few minutes. However, getting the financial covenant waivers into 2021 has provided us with the needed relief as we bridge the gap to reopening. We obtained rent relief from virtually all of our landlords. Our biggest fixed cost is our leases. While we own the property in 12 of our cinemas around the world, we leased 48 theaters from third-party landlords. We renegotiated the rent deals for almost all of our U.S. cinemas. Typically, these deals allowed for deferral of rent until movies started to be released and thereafter, an extended payback period. We also got rent deferrals and some abatements in Australia and New Zealand. Today, our income statement only reflects the effects of abatement deals since we've continued to accrue the full rental obligation that's been deferred. However, we believe that the payback periods we negotiated are sufficiently long to prevent us from being choked by an avalanche of deferred rent payments. We work to generate alternative sources of income. We were delivering through the second quarter -- through the second quarter, we were delivering and offering curbside pickup for food from a variety of our U.S. cinemas. And we're booking now private showings and gaming at certain cinemas. In addition, we have deferred all our major CapEx projects, except for the completion of 44 Union Square, the tenant improvement obligations for our new Culver City tenant and our consolidated theaters at the Kahala Mall in Honolulu. While we unfortunately did not qualify for PPP financing, we did lay off most of our cinema employees. But did retain key managerial employees and retained almost all of our employees in Australia and New Zealand. While we've been closed, we've been developing new cleaning and sanitization protocols, and physically preparing our cinemas for reopening in a world where COVID-19 may be an ongoing part of our lives for this foreseeable future. Through the quarter, we also continued to advance our 3 most significant real estate projects: 44 Union Square Manhattan; Courtenay Central in Wellington; and Manukau, our industrial site next to the Auckland airport in New Zealand. I'll touch on these efforts in a few minutes. The proactive steps we've taken to preserve cash and enhance our liquidity position gives us confidence that we're well positioned to navigate through the current environment. Before I turn to a review of each of our businesses, on behalf of Margaret, our Board and me, we again want to acknowledge and sincerely thank those Reading executives and employees around the world who have amazingly kept their focus through the second quarter to make sure that Reading survives these very uncertain times. My heartfelt thanks goes out to all of you. And to our stockholders, I want to say that we continue to be a great company with eyes focused on the future, and we're the beneficiary of a variety of wonderful assets and opportunities to pursue. Now, let's talk about our global cinema business. I'll focus on where we are today and what the immediate future holds. Let's start with New Zealand and Australia. As of today, 8 of our 10 cinemas are operating in New Zealand. Unfortunately, our top-performing and historically profitable Reading cinema at Courtenay Central in Wellington remains closed due to seismic concerns that arose in January of 2019. And our cinema in New Lynn, a suburb of Auckland, closed yesterday due to a new cluster of COVID cases in Auckland that caused the New Zealand government to lockdown Auckland and impose certain other restrictions around the country for 3 days. Since reopening, we've been operating with strict cleaning and sanitization protocols in line with government and health department regulations. Before this recent cluster of cases, our theaters in New Zealand were operating without any physical distancing measures in place, so all seats were available for sale. However, as of yesterday, our New Zealand theaters are operating again, for a limited period, with physical distancing in place. As of today, 16 of our 23 theaters are open in Australia. Due to a spike in cases, the state of Victoria ordered that all of our movie theaters remain closed through September 15, 2020. Those 7 theaters in Victoria have historically represented, on average, about 30% of our Australian cinema box office. Our Australian theaters that are operating have physical distancing measures in place. Generally, our TITAN, Premium or Gold Lounge auditoriums, where we offer reclining seating, result in approximately 50% of the seating capacity. And our other non-recliner auditoriums result in approximately 25% capacity. Again, since opening, we've been operating with a strict cleaning and sanitization protocol. Since reopening our international cinemas, we've also been operating with the new reduced showtime schedule. Once the COVID-19 issues are behind us and the new films start to be released, we'll resume a typical daily show schedule where we generally offer 5 shows a day. I'll now touch on how we're doing in New Zealand and Australia. Our quarterly attendance results are hard to judge because we opened in phases throughout June. But in July, when all of our cinemas were opened in New Zealand, cinema attendance was about 22% of July 2019. To me, this number provides a hopeful statement for the industry, where one takes into account the only new film that opened in July from a major studio was Trolls World 2 -- Trolls World Tour on July 2. In Australia, with 6 strong theaters in Victoria closed again as of July 8, we reported attendance circuit wide that was almost 10% of attendance in July 2019. Although this number sounds pretty paltry, we need to take into account that for most of July, 5 of our theaters, which represented 22% of our July 2019 box office, were closed by the government. And there have been no major studio releases in Australia. Not even Trolls World Tour has yet opened in Australia, where it's currently scheduled to open on September 16. Since we reopened in Australia, we've only played titles from specialty distributors and our own creative mix of library content. On a positive note, our F&B per caps in these countries during July 2020 increased versus July 2019. In Australia, our July F&B per cap increased by almost 35%. And in New Zealand, our F&B per cap increased by 12%. We believe that the pent-up demand in Australia and New Zealand is absolutely there. People are craving new films in a state-of-the-art cinematic environment. Our guest response to our cleaning and sanitization protocols have been overwhelmingly positive. And so far, our guests indicate they feel very safe in our theaters. We just need the studios to start the flow of movies again. Turning to the U.S., where all of our theaters currently remain closed. Most of our theaters are in regions that have been the hardest hit by COVID-19, like New York, New Jersey, Texas and California. We also have cinemas in Hawaii, which have reported lesser levels of infections due to their containment policies. Based on Warner Bros. recent confirmation about tenant, we will shortly be opening 4 of our consolidated theaters in Hawaii on August 21. And another 2 to 4 theaters, which will include the Angelika Dallas and Angelika at Mosaic on August 28. In Hawaii, we'll be reopening our cinema at the Ward Village, the top grossing theater in Hawaii and one of the top grossing theaters in the United States in 2019. Our confidence in our industry is supported by Warner Bros. determination to open tenant and movie theaters, even though theaters in some of the biggest U.S. markets will remain closed. COVID-19 has decimated the economic health of the cinema industry in 2020. It's reassuring that a major studio has stepped up to get our industry rolling again, even though it won't be able to do a full theatrical rollout. Everyone at Reading appreciates the industry leadership shown by Jeff Goldstein, Scott Forman and Andrew Cripps, together with Christopher Nolan for committing to open this very important film. We'll open tenant in Australia and New Zealand on August 26. And in the United States, we'll open tenant in at least 6 theaters on September 3. We're also excited about the powerful films lined up now behind tenant: Kingsman, Wonder Woman, Black Widow, No Time to Die, Pixar's Soul, Dune and West Side Story. For our U.S. relaunch, our management team has developed a comprehensive reopening plan meant to ensure the health and safety of our guests, employees and other visitors. We've developed increased cleaning, sanitization and physical distancing protocols, created a contactless guest experience and increased monitoring of the health of our staff, vendors, contractors and guests. At relaunch in the U.S. will require employees and guests to wear face coverings. And certain employees will wear other PPE, such as face shields and gloves. We've developed these new standards in accordance with the latest guidance from the local state and federal health authorities. And as we mentioned in our last call, we'll designate a trusted representative at each of our venues to be responsible for the planned successful execution. As I previously mentioned, during the second quarter, we continue to proactively manage our cinema cash burn. Firstly, as mentioned before, we've negotiated rent deals with virtually all of our landlords and are not in default of any of our leases as of today. As mentioned last quarter, because we're focused on our future growth post-COVID, we kept our top executive cinema managers and key programming and marketing executives on the payroll through the closure period. During COVID-19, with our team, we created and launched our Reading Cinema Eats at Home program, where our guests can enhance their at-home movie experience with select menu favorites from our kitchens. We've been taking orders curbside and via the Uber Eats app. We grossed about $100,000 from these efforts from a handful of U.S. theaters. And with our key U.S. programming and marketing teams in place, we participated in separate virtual cinema screening programs arranged with certain specialty distributors. While these programs have only grossed about $50,000 over the last few months, the effort, more importantly, has helped us in the development of our own streaming platform to be called ANGELIKA ANYWHERE. We are currently queued up to launch ANGELIKA ANYWHERE in the U.S. this quarter. The other initiative created and launched by our retained staff is a VIP screening program and private gaming experience launched in Australia and New Zealand, and now in 3 of our leading theaters in Hawaii. In the U.S., this program offered further evidence of the pent-up demand for theater-based entertainment. As you know, our theaters in Hawaii are closed to the public. But once we offered this private by-appointment type of screening, we were inundated within hours with requests. We're hosting these private family screenings on a limited basis, and we're thrilled with the immediate response for our guests so far. In Australia, the government-sponsored JobKeeper Program has allowed us to retain most of our employees on an economic basis. And it was recently announced that once codified, the JobKeeper subsidy program will be extended through the end of March 2021. In New Zealand, our participation in the government's Wage Subsidy program was also a real help with our liquidity situation. However, unfortunately, this program for cinema-level employees has ended as of today. Implementing stringent liquidity management practices, we've delayed all nonessential capital projects. We'll address our renovation pipeline when our liquidity management practices dictate. The renovation of our consolidated theater at the Kahala Mall in Honolulu, where we're converting all 8 screens to recliner seating and adding an elevated F&B offering is currently on hold due to quarantine restrictions. But we're closely monitoring this situation and expect to resume construction when it makes economic sense to complete the project. As of June 30, 2020, we have 4 cinemas under agreements to lease in Australia. We've been proactive and transparent with our landlords. At the moment, we anticipate delaying the opening of our new cinemas in Altona and Traralgon in Victoria and Jindalee in Queensland into 2021. And now turning to the cinema industry more broadly. We received questions from investors about the recently announced AMC-Universal deal. Many of us at Reading have been in the cinema business for decades. We've grown up in the business and like most exhibition and distribution veterans, believe that an exclusive theatrical window is key, not only to the cinema business, but to the economic health and life of a movie. The theatrical window is its own unique marketing channel, and we believe the best way for a movie to establish its brand and not be lost in a hoard of other product offered directly through streaming services. Someone recently said to me that offering movies on the streaming service is like trying to drink wine from a fire hydrant. We believe that the fine wines will continue to be released through our cinemas, the best context in which to release any quality film. While people spill a lot of ink about the depth of the cinema industry, the international box office set a record at $42.5 billion in 2019. And the film rental delivered to the major studios in the domestic market, based on an $11 billion domestic box office in 2019, is markedly higher than international markets. So the money generated by the theatrical box office is a significant sum. And represents the first of many windows for major movies. A theatrical engagement allows a movie to set itself apart. If a film deserves it, it can shine and attain a level of brand recognition that can serve as a movie's foundation for decades to come. Except in limited cases in the U.S., Reading has historically insisted on appropriate windows to play a picture in our theaters. We've stood shoulder to shoulder with most of our industry brethren. These major global cinema players are savvy operators who understand the balance that needs to be struck with the studios. We understand that the system only works if we all make money. We'll continue to monitor the situation and dialogue with our colleagues in distribution to strike the right balance. In the meantime, we believe that the investment we have made in our theaters over the last 5 years will continue to pay dividends. We also received a number of questions about the recent end of the so-called Paramount consent decree and how it may potentially impact Reading in the United States. The Paramount consent decree, issued in 1948, ultimately prevented certain major studios from owning movie theaters and virtually controlling both movie distribution and exhibition. Note, this decree historically only applied to certain studios. From the beginning, it didn't apply to Disney and it never officially applied to Lionsgate. My understanding of the decree's termination is that certain aspects of the termination will take place over 2 years. Further, despite the termination of this decree, the major studios and exhibitors are still governed by the federal anti-trust laws and any major transaction will continue to receive the scrutiny of regulators. Also, the decree was meant to stop so-called block booking and circuit dealing. Over the last decade, while we've had distributes with film companies from time to time as to how they book their movies, in both the specialty and commercial world, Reading has successfully managed to maintain healthy long-term relationships with almost all of the major studios and leading specialty film companies. Our approach to doing business is guided by the idea that our relationships operate 365 days a year. We strategically understand we don't always get what we want every day. Rather, we'll look to the overall long-term relationship. We don't expect those relationships to end because of the end of the decree that applied to Paramount, Warner and Universal. And lastly, on this issue, I'll note that in Australia and New Zealand, we established a foothold in these countries by becoming the fourth and third largest exhibitors, respectively, in a matter of 20 years, despite the fact that the major distributors also own the leading exhibition companies. Now turning to our global real estate business. As we highlighted during the Q1 2020 earnings call, we expected that our Q2 rent rolls will be significantly impacted by the tenant relief provided by Reading and the closure of our 3 live theaters, all due to COVID. At $2.3 million, our second quarter 2020 total real estate revenue decreased by 59%, and we reported a second quarter 2020 operating loss of $807,000. While our real estate operations were less impacted by the COVID pandemic than our cinema business, COVID still dealt our real estate operations a meaningful blow. The decrease in our overall Q2 results was attributable to a few factors. Our live theaters in the U.S. remain closed for the entire second quarter due to government mandates. In Australia and New Zealand, where we have a combined total of 86 third-party tenants, we granted over 55% of our tenant some form of rental relief through abatement or deferral. Almost $390,000 in COVID-19 rent abatements were granted to this group of third-party tenants. In New Zealand, we suffered a reduction in parking revenue due to the COVID-19 lockdowns. And again, the unfavorable foreign currency movements in both Australian and New Zealand dollars impacted our revenues and income levels, which are reported to you in U.S. dollars. These financial result declines were offset to some extent by the elimination in Australia of our third-party property management contracts, which reflects the continued strengthening of our internal property team, the obtaining of various property tax rebates and waivers in Australia, the receipt of some live theater license revenue during the second quarter, an overall reduction in operating expenses due to our proactive COVID-19 liquidity measures and the commencement of straight-line rent attributable to our recently signed second floor tenant at our Culver City headquarters building in the U.S. Through the second quarter, our worldwide management teams worked with our affected live theater, commercial and retail tenants and offered support through our negotiated short-term amendments and to -- excuse me, offered support through negotiated short-term amendments to their rental obligations with the goal of ensuring their long-term viability as our tenants. Regarding our live theaters in the U.S., our continued expectation is that the Orpheum and Minetta Lane Theaters will not resume public performances until early 2021. This is due to the lack of certainty as to when the government will permit the opening of indoor venues in New York City and the fact that the producers will be unable to operate at reduced seating capacities in order to maintain social distancing. Again, we continue to believe that the public reactivation of the smaller stages at the Royal George Theater in Chicago could occur during the fourth quarter of 2020. Once we reopen our live theaters, many of our cleaning and sanitization protocols outlined earlier for our U.S. cinemas will be implemented in our live theaters. Regarding our current portfolio of 86 third-party lease tenants in Australia and New Zealand. In addition to our own negotiations, the Australian government implemented code of conduct that imposed a set of good faith leasing principles between landlords and tenants, whereby abatements and deferrals of rent were to be agreed. In addition, Australian state governments enacted legislative rental relief for eligible tenants, reflecting the spirit of the code of conduct. As I mentioned before, during Q2, we granted about AUD 565,000 and NZD 38,000 worth of rent abatements to our third-party lease tenants in Australia and New Zealand. With respect to rent deferrals, we granted USD 266,000 in rent deferrals. Rent deferrals are to be repaid by tenant over a 24-month period once the code of conduct ends, which in most Australian states is September 29, 2020, although this date could be extended. As of today, 97% of our third-party lease tenants are open and trading, although some still have trading restrictions. However, please note that despite these tenants being open, we expect that the impact of our negotiated rental concessions, abatements or deferrals to be felt into the third quarter of 2020. As of June 30, 2020, our combined Australian and New Zealand portfolio insists of 101 third-party tenant spaces, representing a gross leasable area of almost 32,000 square meters or almost 345,000 square feet. Today, our occupancy across our Australian and New Zealand centers for our third-party lease tenants is 86%. During Q2 2020, we continued leasing activity at Newmarket Village in Cannon Park. We completed 3 new leases. And at Auburn Redyard, New Market Village, Cannon Park and Courtenay Central, we completed 4 lease renewals. And our negotiations during Q2 2020 have resulted in 5 new leases and 4 new lease renewals being executed during this quarter. As mentioned last quarter, prior to COVID-19, we had detailed for our investors various redevelopment and improvement plans for our Australian centers. As a result of COVID-19, we've delayed all nonessential capital improvements in our Australian centers until we're confident in our liquidity position. However, this has not impacted our commitment to certain tenant allowances and lessors works for a few lease deals that we deem essential to the long-term health of our centers. With respect to CapEx, let me walk through the key capital projects that our management team has continued to progress through COVID-19. Let's start with 44 Union Square in New York City. Following a mandatory construction shutdown by the city of New York, the site reopened for construction on July 1, 2020. Our contractor, CNY, is completing the last few items in anticipation of getting our core and shell temporary certificate of occupancy, which we anticipate obtaining by the end of the month. The building is ready to be turned over to tenants. With respect to marketing, the building has garnered recent local and international press. Following Labor Day, Newmark and Reading together will execute an even more comprehensive marketing and advertising campaign highlighting the building for potential tenants. Unfortunately, COVID-19, together with the summer months, has led to significantly less traffic in the city and Union Square area. We've made a calculated decision to hold back these advertising dollars in order to have a greater impact when things reopen. While the real estate community expects a short-term slowdown and contraction of rents in New York City due to COVID-19, most believe that the city's long-term fundamentals remain intact. New York City has a history of rebounding from dire and tragic events like 9/11 and the 2008 global financial crisis, though this rebound may take some time. At the moment, we cannot offer any assurance as to when the building will be fully leased and do not want to quantify $1 per square foot expectation. But Union Square remains a key transportation core, and our building is one of the few brandable buildings in the area. As I mentioned on the last call, our leasing team is pursuing getting inquiries from potential users not seeking standard office space. For instance, we continue to explore medical uses. In addition, we're exploring high concept short-term tenancies that may be able to sufficiently bridge us through the immediate impacts of COVID. As of June 30, 2020, the updated book value of Union Square is $88.3 million. Total debt against that property aggregates less than $40 million. Based on recent appraisals on the property and conversations with people in the debt markets, we believe we can refinance the property and create additional liquidity for the company. We're in the process of seeking to refinance our existing construction loan and anticipate having the refinance completed by the fourth quarter. While we've not expended any funds during the second quarter, we are committed to making sure that our new tenant at our Culver City headquarters completes its tenant improvement works and moves into the building as quickly as possible. With that in mind, during the third and fourth quarters, we'll spend some money on TIs to complete our lease obligations. And now turning to our real estate assets in New Zealand. As you know, since January 2019, most of our Courtenay Central asset in Wellington has been closed due to seismic concerns. This asset continues to be a major focus as it has historically been -- as it has historically provided the foundation for our New Zealand real estate portfolio. Wellington remains one the strongest economic centers in New Zealand and a destination for investment dollars. Planning work has proceeded at pace with respect to this location. We've been in active discussions with the city, which is supportive of our efforts and potential tenants. Construction of the multimillion-dollar convention center across the street from our site continues. During the second quarter 2020, we also continued to work on the planning for discrete infrastructure projects acquired by the Auckland Council to start developing our Manukau property located in the prime industrial market of Manukau/Wiri, close to the Auckland airport. We've now obtained the governmental consents needed to build significant portions of the infrastructure necessary to unlock the value of our property and agreements in principle with affected easement holders are almost in place. In addition to design and permitting efforts, we focused on the contractual structure that will govern our relationship with our adjoining neighbors, the needed infrastructure improvements across both our land and that of one of our neighbors. And we're working with an additional neighbor in order to bring down the ultimate cost of the required infrastructure works. Over the next few months before Reading makes any funding commitment, we will be satisfying ourselves that we have in place a legal arrangement that's protective of Reading's future interest and potential economic returns that fairly allocate the cost and benefits of the needed infrastructure. A number of civil works projects in the Auckland area, including major projects sponsored by the Auckland airport have been postponed due to COVID-19. This delay in civil works projects opens a window of opportunity for the Southern Gateway Consortium to tender construction contracts for the infrastructure works. We believe a tender in the short term could result in meaningful savings in construction costs. And we're in the process of updating our budget and construction schedule. As of today, our 2 parcels representing 70.4 acres, almost 3.1 million square feet of undeveloped land are located in one of the most sought-after industrial areas of New Zealand. And these 2 parcels remain unencumbered. So with that, I'll turn it over to Gilbert for a financial review of the second quarter of 2020.
Gilbert Avanes: Thank you, Ellen. Consolidated revenue for the second quarter 2020 decreased significantly by 96% to $3.4 million compared to the same period of last year. For the 6 months ended June 30, 2020, revenue decreased by 62% to $52.7 million from the 6 months ended June 30, 2019. These decreases are primarily driven by the temporary COVID-19 related closure of our 60 global cinemas and 3 live theaters in the compliance with governmental directives. We were able to recover some of the revenue losses in the second quarter when we reopened most of our Australian and New Zealand theaters in June and July 2020, excluding our Courtenay Central cinema, which continues to be closed due to seismic issues. Additionally, the Australian dollar and New Zealand dollar depreciated by 6.9% and 6.8%, respectively, against the U.S. dollar measured as of June 30, 2020, which should also be factored in the year-over-year decline. Net income attributable to the RDI common stockholders decreased by $25 million to a loss of $22.7 million for the second quarter of 2020 compared to the net income of $2.3 million in the same period in the prior year. Basic earnings per share for the quarter ended June 30, 2020, decreased by $1.14 to a loss of $1.04 from the prior year quarter. For the 6 months ended June 30, 2020, net income attributable to RDI common stockholders declined by $28.8 million to a loss of $28.6 million compared to the first 6 months ended June 30, 2019. Basic earnings per share decreased by $1.32 to a loss of $1.31 compared to the same period of last year. Non segment G&A expense for the second quarter and first 6 months of 2020 decreased by 16% and 15% to $3.9 million and $8.3 million, respectively, due to lower legal expenses when compared to the same period in 2019. In addition, in Australia and New Zealand, we have received wage subsidies from the local government that covers the majority of our payroll expenses. We anticipate continuing to benefit from the wage subsidy program in New Zealand and Australia through August 2020 and September 2020, respectively. The wage subsidy program in Australia is to be extended but has yet to be codified. Income tax benefit for the quarter and 6 months ended June 30, 2020, increased by $3.2 million and $5.2 million, respectively, compared toward the same period of the prior year. This is primarily driven by the tax benefit from the carryback of 2019 net operating loss as a result of the CARES Act to the 2015 and 2016 taxation year, when the federal tax rate was 35%, offset by an increase in valuation allowance in 2020. For the second quarter of 2020, our adjusted EBITDA decreased by $28.8 million compared to the same period -- prior year period to a negative adjusted EBITDA of $16.9 million. For the 6 months ended June 30, 2020, our adjusted EBITDA declined by $35.2 million to a negative adjusted EBITDA of $18.6 million. This decrease was primarily due to the flow-through of the net loss in the second quarter and for the year-to-date 2020, driven by COVID-19 related factors. Shifting to cash flow. For the 6 months ended June 30, 2020, net cash used by operations increased by $26.2 million to a net cash used of $23.1 million when compared to the same period of prior year. This was primarily driven by $29.7 million lower cash inflow from operating activities as well as the $3.5 million decrease in net operating assets. Cash used in investing activities during the 6 months ended June 30, 2020, decreased by $10 million to $14 million due to a significant decrease in our cinema refurbishment activities compared to the same period in 2019. Cash provided by financing activities was $63.2 million during the first 6 months ended June 30, 2020, and was primarily a result of $87.2 million of new borrowings, offset by $22.3 million of loan repayments. The proceeds of the new borrowings are primarily being used for working capital for ongoing operations in the U.S., Australia and New Zealand as we weather the impact of COVID-19 global pandemic. Turning now to our financial position. Our total assets at June 30, 2020, increased to $687.8 million compared to $675 million at December 31, 2019, primarily driven by the increase in cash and cash equivalent, partially offset by the decline in foreign exchange rates in Australia and New Zealand dollars. As of June 30, 2020, our total outstanding borrowing was $275.9 million. Our cash and cash equivalent at June 30, 2020, were $40.4 million, which includes approximately $22.9 million in U.S., $3.8 million in Australia and $13.7 million in New Zealand. The required shutdown and other operational impact on our business due to COVID-19 pandemic related issue has severely reduced our liquidity from operational sources. As Ellen mentioned, we have successfully negotiated certain modification to our loan agreement with Bank of America, National Australia Bank and Westpac for the quarter ended June 30, 2020, and in some cases, into the future. These loan modifications include changes to some of the covenant compliance terms and waivers to certain covenant testing period for these lenders. We currently have no covenant breaches for which low modifications or waivers to the covenant testing periods have not been obtained. On August 7, 2020, we modified certain financial covenants within our Bank of America credit facility and received waivers for the quarterly financial covenants test for measurement period through September 30, 2021. The test of these financial covenants resume for measurement period ending December 31, 2021. The modifications also include new covenants related to maintenance of certain liquidity level and increases the interest and fees payable through the duration of the credit facility. The company also entered into an amendment with National Australia Bank to its AUD 120 million loan facility dated as of August 6, 2020, that, among other changes, modifies the fixed charge coverage ratio testing for the quarterly through June 30, 2021, so the ratio testing is calculated on each respective quarter's trading performance as opposed to annually and waived the leverage ratio testing through the quarter ended June 30, 2021. The NAB amendment also increased the interest and fees payable on the NAB facility. With respect to Westpac facility on July 27, 2020, Westpac waived the interest cover ratio test through July 31, 2020, with testing of the covenants resuming September 30, 2020. The Westpac amendment increased interest and fees and continued a $10.3 million term deposit. The longer the COVID-19 pandemic and the associated legal and practical limitation on our business exists, the more likely in the absence of other actions by our company that we will be unable to continue to comply with these covenants. However, in such an event, our company expects to be able to obtain an amendment or a waiver from its lenders, but no assurance can be given. In the absence of such waivers, it is our current intention to look to our real estate assets to provide needed liquidity. Prior to COVID-19 pandemic, our global operations strategy had been to conduct businesses mostly on a self-funding basis by country, except for the funds used to pay and appropriate share of our U.S. corporate overhead. However, the need to close our theaters and to offer rent concession to certain of our tenants have reduced revenues and adversely impacted our operational liquidity sources. As mentioned before, through liquidity management practices, we are actively -- and where feasible, postponing or reprioritizing our capital expenditures based on the assessments of the conditions and liquidity requirement during this time. These determinations will be impacted by the timing of our cinema reopening, which will likely vary from jurisdiction to jurisdiction. With that, I will now turn it over to Andrzej.
Andrzej Matyczynski: Thanks, Gilbert. First, I'd like to thank our stockholders for forwarding questions to our Investor Relations email. We have tried to address many of the questions we received in our remarks today. But as usual, in addition, we have compiled a set of questions and answers representing some of the most common questions and recurring themes e-mailed to us.
A - Andrzej Matyczynski: The first question, can you provide more details about your current liquidity position by geography as of August 12? Please highlight the flexibility with which you can move cash around and also walk through how long that liquidity takes you, assuming theaters remain closed and the third quarter rent abatements provided to Australia and New Zealand tenants remain in place. Gilbert?
Gilbert Avanes: Given the challenges COVID-19 has created for our business, liquidity is of paramount important to us, and we monitor it on a day-to-day basis. As of August 11, 2020, our consolidated cash and cash equivalent totaled $35 million, which includes approximately $16.9 million in U.S., $4.7 million in Australia and $13.4 million in New Zealand. With our U.S. cinemas anticipated to reopen in the near future, we expect to begin seeing our operating cash flow resume again, as we have seen in Australia and New Zealand. With the new temporary terms in place, regarding our current waivers and loan modification to our bank covenants, we are not able to move funds between these facilities. While this does limit us, we see this as a temporary situation that will not hinder our operations in the long term. Even with these restrictions, we will be able to reopen within each of the 3 countries and continue operation as COVID-19 avoidance regulations allow.
Andrzej Matyczynski: Thanks, Gilbert. Perhaps, Ellen, you could deal with this next question. How are you thinking about margins during the ramp-up? How are you thinking about the demand recovery curve?
Ellen Cotter: As I mentioned earlier, we're opening in the U.S. on a stacker basis. We'll open select theaters in Hawaii in a few weeks but not open cinemas or live theaters in New York City or cinemas in California until later in 2020 when the government gives us the okay. So even with Australia and New Zealand maintaining their current trading status, our operating margins during 2020 ramp-up will not look great. For the remainder of 2020, we'll be very focused on our operating costs and maintaining liquidity levels, but we're not diluting ourselves, their costs will be higher. One of the big concerns we have is ensuring that our guests understand our dedication to the highest cleaning and sanitization standards. Our goal is for our guests to leave our theaters knowing their health and well-being is our highest priority. So compounding this will be the fact that we may have seat count reductions and the fact that we'll not likely be able to maximize our showtime schedule during the remainder of 2020. However, once our U.S. cinemas are substantially opened and our Australian and New Zealand theaters continue to operate, and there's a consistent flow of major studio releases, and the public maintains a positive perception about the cinema industry's dedication to health and well-being, we anticipate that the pent-up demand will absolutely serve us very well. The 2021 release calendar looks really strong, so we may return to more consistent cash flows and operating levels in 2021. And we believe our laser focus on cost and liquidity in 2020 will help us with processes and procedures to improve our overall operating margins into the future. Based on the 2022 release schedule announced to date, we're really excited about 2022, and it would be so nice to set another record box top this year in 2022.
Andrzej Matyczynski: Thanks, Ellen. So what will our ticket pricing look like once we open our U.S. assets, Ellen?
Ellen Cotter : Well, we know that -- as I just mentioned, that the operation of our U.S. cinema is going to be more expensive. Our costs related to labor, our new cleaning and sanitization protocols will all add pressure to our margins. And as I just mentioned, our revenues will be constrained by various factors. In light of these pressures and following up on our Q1 earnings call, we'll be doing a full pricing review to take into account all relevant factors and make a determination as to ticket pricing that would improve our overall profitability in each market. We do note, however, that we think that our standard weekend pricing will reflect upward price movements.
Andrzej Matyczynski: Thanks, again. Now a more strategic question. Given the difference in market valuation, do you believe there's value in separating the real estate and the theater business, Ellen?
Ellen Cotter: Over the years, we've talked about separating our 2 businesses. It's been and continues to be our belief that the interest of our company and stockholders generally is best achieved by continuing our current diversified business plan. At the present time, our cinema revenues are obviously depressed. However, we don't believe that this is a permanent condition, and we take comfort in the slate of movies to be released during the fourth quarter and into 2021 and 2022. It's our cinema and live theater operations that have allowed us to amass the real estate portfolio we enjoy today. In addition, the majority of our real estate assets, particularly in Australia and New Zealand, are anchored by one of our cinemas. This has not been by accident, but by design, as we believe the synergy between the cinemas and the majority of the real estate assets in our portfolio creates true value for our stockholders. And it's our line of credit -- support -- lines of credit supported by, in part, those real estate assets that are providing us with the liquidity we need today to continue our business during the COVID period.
Andrzej Matyczynski: Thanks, Ellen. So we'll wind this up with a final question that I'll I field. In the recent past, the company has attended less investment conferences. What additional Investor Relations proactive steps will the company take to better educate the market about Reading? With the current pandemic and the unlikelihood we will see in-person investor conferences in the near future, what if any increasing number of online conferences that are being offered has or is Reading pursuing? Well, since the COVID-19 shutdown in mid-March, the company has been focusing on addressing the issues caused by that closure of all our cinemas and a substantial part of our real estate portfolio. We did, however, attend the virtual Gabelli conference in early June of this year. The workload-related drop of coverage by B. Riley has driven our more customary attendance at these conferences down from between 2 and 3 a year to only 1 or 2. We have been reviewing the remote conferences that are becoming the norm in the pandemic era and have narrowed our field to 2 or 3 potential candidates of which we will choose 1 to participate in during the September, October time frame. For 2020, we do not envision participating in more such conferences, but we'll reevaluate such participation, either remotely or in person in early 2021 for the coming year. That marks the conclusion of the question-and-answer session and the call. We appreciate, as always, you listening to the call today. Thank you for your attention. And we wish everyone a good health and safety.